Operator: Good morning and welcome to RioCan Real Estate Investment Trust, First Quarter 2013 Conference Call for Friday, May 3rd. Your host for today will be Mr. Edward Sonshine. Mr. Sonshine, please go ahead.
Edward Sonshine: Thank you very much and good morning everyone and thank you for dialing in. I’ll first read the required warning in talking about our financial and operating performance and in responding to your questions, we may make forward-looking statements including statements concerning RioCan’s objectives, strategies to achieve those objectives, as well as statements with respect to management’s beliefs, plans, estimates and intentions. And similar statements concerning anticipated future events, results, circumstance, performance or expectations that are not historical facts. These statements are based on our current estimates and assumptions and are subject to risk and uncertainties that could cause our actual results to differ materially from the conclusions in this forward-looking statements. Excuse me. Additional information on the material risk that could impact our actual results and the estimates and assumptions that we applied in making these statements can be found in the financial statements for the period ending March 31, 2013 and management’s discussion and analysis related thereto, together with RioCan’s current annual information form, all of which are available on our website at www.sedar.com. Now with that out of the way, of course, Rags Davloor and Fred Waks, are with me here in the room, and they will take you through the bulk of the information, and I’ll finish up with a few comments. So without further ado, Mr. Davloor. Over to you.
Rags Davloor: Okay. Thanks, Ed. And good morning everyone. We are pleased to review RioCan’s first quarter results that were released earlier this morning. For the quarter, RioCan reported operating FFO of 124 million, an increase of 21 million, or 20% compared to operating FFO of 103 million in the first quarter of ‘12. On a per unit basis, operating FFO increased by 4 cents or 11% to 41cents in Q1, 2013 compared to 37 cents in the same quarter of ‘12. The increase is primarily due to the increased NOI from rental properties of 19 million which is due to acquisitions, same property growth of 0.3% and 1.4% for the Canadian and U.S. portfolio respectively, and the completion of green field development. We also had higher development fees of 5 million which were partially offset by higher interest expense of 2 million and higher G&A expense of 1 million. For the remainder of 2013, we expect a quarterly NOI run rate as of March 31st adjusted to include acquisitions and dispositions that have close subsequent to quarter end but as of today, is approximately 189 million. For 2013, we expect same-store growth to be in the range of 1.25%. For the second quarter, we expect same-store growth to be flat primarily due to the salaries expiries after which we expect to see growth in the second half of the year. Property and asset management fees are expected to be between 3.25 to 3.5 million for Q2 which is gradually expected to increase in Q3 and Q4 due to increased development activity. Interest income on a quarterly basis is also expected to be unchanged at about 3.3 million. RioCan will no longer receive dividend income from Sedar as RioCan’s equity investment was sold during the first quarter. G&A is expected to be approximately 47 million for the year. For Q2, we expect G&A to be in the range of 10.5 to 11 million. During the most recent quarter, RioCan completed two income property acquisitions, one in eastern Canada and the U.S. for 19 million in aggregate with a weighted average cap rate of 6.3%. Subsequent to the quarter end, RioCan completed four acquisitions of income properties that totaled 418 million at our interest comprised of a 50% managing interest in Burlington Mall, with KingSett Capital, 100% interest in wholesales place, and also 100% interest in South Cambridge and we also bought out the remaining 50% interest in March Road in Ottawa to increase our interest to 100%. These four properties were acquired at a weighted average cap rate of approximately 5.2%. RioCan’s two income properties under contract where conditions have been waived at an average cap rate of 5.4% total purchase price of 68 million. Additionally, RioCan has 27 million of income property acquisitions that are currently under contract where conditions have not yet been waived. For 2013, we expect acquisition activity to be between 700 and 800 million. Regarding Rio Can’s disposition pipeline, RioCan has at this point completed the sale of two properties of the total sales price of 73 million. RioCan’s three properties under contract to be sold where conditions have been waived, that represent 301 million of assets. In addition, we have four properties that are under contract where conditions have not yet been waived and represent approximately 36 million of asset sales. We are under no obligation to pursue that such dispositions which have completed will be done to facility RioCan’s objective of pairing its portfolio to focus on major markets and recycle capital. After taking into account these dispositions, RioCan’s waiting to major markets will increase over 70% from our current 68% as of the beginning of the year. Regarding RioCan's development of property acquisition program, we completed the acquisition of the Sage Hill Lands in Calgary with KingSett on a 50-50 JV basis for 32 million or 16 million at RioCan’s interest. Subsequent to quarter end, RioCan acquired three development properties at a total purchase price of approximately 86 million gross of 39 million at our interest. The developing assets that were acquired after quarter end include a 50% interest in development property in Calgary also with KingSett. The second parcel of the Globe and Mail Lands acquired with Allied and Diamond Corp and the West Kanata Lands in Ottawa which was acquired with Tanger. We expect to break ground with Tanger on the Kanata property and the Cookstown expansion in the second quarter of this year. RioCan has won additional development property and a fund contract at a purchase price of 14 million and a further 54 million of development properties under contract where conditions have not yet been waived. Under IFRS as of March 31st RioCan’s investment properties were valued at 12.5 billion at our interest based on our weighted average cap rate of 5.98% which is a decrease of 3 basis points from the end of the year. This translates to a fair value gain of 39 million at RioCan’s interest in the first quarter. In referencing RioCan’s interest in the statistics, the calculations are on a proportionate consolidation basis. Financing continues to remain available at favorable terms and the trust is continuing to experience significant interest savings on our refinancing. Where possible, RioCan is actively seeking early renewals and are working with our lenders to lock in current interest rates for properties where it makes sense for the trust. RioCan completed two senior unsecured debenture offerings so far in 2013. The first, Series S was a five-year 250 million offering with a coupon of 2.87%, that was completed during the first quarter. The second offering, Series P, was a 10-year $200 million offering with a coupon of 3.72%, that was completed after the quarter end. The Series P offerings was issued to replace 150 million Series M unsecured debentures had been called in for redemption which will occur later this month. These debentures carried a coupon of 5.65% and were initially due in 2015. By doing this, we have proactively smooth out our debt ladder to extend out our 2015 maturities and take advantage of the current interest rate environment. We target to have between 10% to 15% of debt maturing each year under out debt ladder. This allows us to opportunistically manage our debt structure and manage risk. This also ensures that we’re not exposed to the potential volatility arising from sudden moves in interest rates and exposure to large maturities that could leave us vulnerable in any given year. In the first quarter, RioCan’s coverage metrics continue to improve over the prior quarter. The ratios on a proportionate consolidation basis of RioCan’s interest for the quarter, were as follows; interest coverage of 3.02 times, debt service coverage of 2.21 times, and fixed charge coverage which includes preferred and common distributions of 1.10 times. We have adjusted our target ratios from 2.5 times, to 2.75 times for interest coverage and debt service coverage has been increased with respect to the target, from 2 times to 2.25 times. We believe these revised targets will further strengthen our balance sheet and enhance our cost to capital. RioCan’s debt to total asset ratio on a proportionate basis was 43.7% as compared to 43.6% as of December 31, 2012. RioCan’s other measure of leverage net operating debt to operating EBITDA was 7.05 times for the quarter. RioCan’s continued flexibility to generate additional funds to financing mortgage loan balances as well to repay additional balloon balances to increase the size of RioCan’s pool of unencumbered assets. As of March 31, 2013, we had 85 properties that were unencumbered with a fair value of approximately 1.6 billion which represents 115% of RioCan’s unsecured debentures. As we have previously stated, it is our objective to continue to grow the size of this unencumbered pool. We have set an initial target of 130% of unencumbered assets to unencumbered unsecured debentures which we expect to achieve either by the end of this year, or by the first quarter of 2014. We are increasingly focused on our debt to EBITDA multiple and unencumbered assets to unsecured debt ratio. In connection with the debt to EBITDA, we are focused not only on reducing the ratio, but also by growing our EBITDA both in absolute dollars, and the quality of the underlying cash flow that supports the spends. We believe that by adhering to these principles, we’ll have continued access to capital that will be among the lowest kind of blended basis across multiple sources. This will lead to enhanced cash flow and dependable cash flow growth from these multiple sources while working with a low tolerance to risk. Overall, we are pleased with our results in the positioning of our capital structure. We continue to strengthen the balance sheet and credit metrics which provides us with access to capital for both debt and equity to fund RioCan’s ongoing acquisition and developing platforms. Fred will now provide further insight into our operations.
Fred Waks: Thank you very much, Rags. March ending 2013, we did 352,000 square feet as compared to 2012 of 332,000 square feet. We’ve seen a significant increase in terms of these rates of $19.70 as compared to $15.84 the previous year. Of that, national tenancies was approximately 79% as compared to 78% the previous year with an average rate of $19.32 as compared to $14.95. In terms of our renewal retention rate, we did see a bit of noise as Rags was saying in terms of this last quarter running at 68.3% as compared to 91.2%. A little color as to why that was, that pertains to three sellers that were comprising approximately 187,000 square feet as well as seven sports marks that comprise approximately 50,000 square feet. If you were to normalize that, we’d be looking at closer to 85.5% which is normal for us. In terms of looking at our renewal increases, we saw increase basically for nine anchors [ph], purchased 3.13 as compared to 2.79 in terms of the different categories and new format retail, we saw 13.8% increase Grocery Anchored to 16.7% increase. In terms of urban retail, we saw a 22.3% increase and non-fixed across the board, we saw an 18.5% increase or 3.86 a foot. In terms of our vacancies, budget and unbudgeted, we saw 6.7 million revenues as compared to 9.46, the previous year, or 0.063 off a bigger base as compared to 0.89. A lot of that pertains to these other situation. And just to give you a quick update in terms of where we stand with the nine locations that we have including the three renewals, we have seen 61% of that space in offers or spoken for thus far replicating or actually increasing to 102% of rents. The tenancies that we are seeing in those properties have actually helped us reposition these properties with the likes of Winners, Sport Check, Sobey’s, Beyond [ph] Dollarama, Carter’s/Oshkosh, Urban Planet, No Frills, Maxi, LA Fitness, Winners and Giant Tigers and Ardet [ph]. So we are seeing a great remerchandising of these properties. In terms of the portfolio occupancy, we are running at 97% as compared to 96.9%. Now that of course does not include the short term diminution that we’re going to see of about 30 basis points for the first part of this quarter. For the second quarter, we believe we will make that up certainly to be at about the same levels at 97% as compared to 96.9% of the prior year. Our economic occupancy is running at 95.8% as of the end of March. Over the next 12 months, we see 550,000 square feet coming on stream, or almost 12 million of annual gross revenues that would be coming on. Our top 10 list continues to be strong in Canada with Wal-Mart representing 4.4%, Canadian Tire at 3.9%, Galaxy at 3.6 and Metro at 3.4%. The U.S metrics continue to be strong, our occupancy running at 97.4% and except for having a couple of cash advance [ph] where we did lease buy outs basically, our renewal retention remains very strong and we are seeing a good uplift in terms of same-store growth, in particular rentals with average rents ranging at $20.22 a foot. Ed?
Edward Sonshine: Thank you, Fred. Thank you, Fred. I’m of course please that we’re here discussing what is yet another satisfactory quarter. Quarter end conference call is by definition retrospective. While I certainly enjoy looking back, as I believe our many strategic decisions over the years have largely proven to be correct. I believe it is far more important than quite frankly, useful to look forward. So that is what I intend to do over the next few minutes before opening it up for questions. If you delve into the massive information released early this morning, you will find that our distribution to our unit holders was increased to $1.41 annualized at the beginning of the first quarter. Notwithstanding that increase, our distribution as a percentage of our operating FFO for this quarter was 86% and as a percentage of our AFFO, our adjusted funds from operations, 95%. We will continue to lower these percentages while also continuing to award our unit holders. We intend to do this by achieving our goal of 5% to 7% growth in operating FFO per unit while increasing our distribution by 2% to 3% annually. That is the plan, at least until we get the percentage distribution of operating FFO under 80% and of AFFO, under 90% which quite frankly, shouldn’t be all that long [ph]. So how do we think we can achieve that plan when cap rates on the most desirable properties in Canada and U.S. are quite simply pushing towards 5% or even in some cases, under? The answer of course is in the multiple growth drivers that are uniquely available to RioCan. I won’t bore you once again by reviewing them all, but simply point out a few highlights of what’s going on right now. The largest suite in Canada with an enterprise value which is quickly approaching $15 billion, will not only have the lowest borrowing costs in our sector, but also the widest number of debt capital sources. Rags described to our last two unsecured deals, but we’re also active on the secured debt side as we like to keep multiple availability to ourselves. On that secured debt side which is typically used where we have a partner in the property, we said that RioCan new low benchmark this past Monday, with a five-year secured mortgage at 2.97% supplied by Wells Fargo bank. We then did even better locking in yesterday, on a five-year mortgage at 2.94% with Sumitomo Bank. Both mortgages are both from Canadian assets and Canadian funds and between the two of them, are an excess of $110 million. So financing and refinancing will certainly play a significant part in the growth goals that I described particularly when you go back to our debt ladder that Rags described and we will generally have $600 to $800 million coming due in any given year certainly over the next two years when we expect interest rates to remain relatively low. Secondly, we expect same-store growth to accelerate over the next few years as more and more of our portfolio is in the major markets and we get past some of the speed bumps we have encountered last year and this year. The portion, as I think is in the information that we released this morning of our assets that will be in those major markets will exceed some time during this quarter, 70% for the first time in RioCan’s history and that is a number that we expect and hope to keep increasing. Development and redevelopment, perhaps the most significant growth drivers over the next few years, our identified investment over the next five years in this area will be over $1 billion excluding what we currently call, the Gold and Mail Lands. We expect this investment of $1 billion to achieve unlevered yields an excess of 8% in the aggregate. Completions will start in a meaningful way by early 2014. With the coming on stream of the 550,000 square foot Stock Garrette’s [ph] project by the end of Q1, and the 330,000 square foot, Sage Hill Center in Calgary by the end of Q3 2014. We’re having ground breaking ceremonies this month for the doubling in size of the Tanger outlet in Cookstown and the new Tanger outlet Ottawa. These two projects will add about 450,000 square feet of New Bill to the current RioCan Tanger joint venture and are expected to be completed prior to the end of 2014. In each of the years thereafter, we can foresee this pace continuing and perhaps even increasing. And always with an increase in fee income wherever we have partners. You will note that I used the word identified in discussing our development projections. There are many redevelopment and intensification projects that are constantly being worked on including several that will have a significant component of rental residential. Current rents and interest rates allow us to do this in a yield appropriate manner in the right locations. As I think I should leave something to discuss next quarter, I’m going to stop now, and open the floor to any questions you may have. Thank you.
Operator: (Operator Instructions) The first question if from Pammi Bir of Scotia Capital. Please go ahead.
Pammi Bir – Scotia Capital: Thanks, good morning.
Edward Sonshine: Good morning.
Pammi Bir – Scotia Capital: I realized it’s still early days, but can you comment on maybe the dynamic that you’re seeing, you’re target anchored properties, perhaps some of the feedback that you’re getting from tenants on their traffic levels to date.
Edward Sonshine: It is early days, but you know, I can give you a couple of examples. Traffic typically is up and it’s not the same across the board. We have eight open already, I believe. And traffic is up I say, 15% to 17% in those eight stores. That’s what we hear from our own managers and from the other tenants in the center, in the centers in question. What we understand from Target quite frankly is that they are so far and again, not without bumps and dumps particularly in stocking, their sales are well ahead of projections and quite frankly, once they get their logistics a little better sorted out, I expect them to do even better. Just an example, we had one tenant in a place you perhaps never think of, Orillia Square Mall where Target is open where we had a couple of tenants that were talking about leaving. Well, instead, they have decided to make additional investments and stay at enhanced rent. So we’re seeing the very early impact, but so far, everything is cracked up to be. Fred, there something you want to add to that? Okay, thank you. Thanks, Pammi. I hope that answers it.
Pammi Bir – Scotia Capital: Yes. And I guess maybe adding to that, how are you feeling, are you more or less confident about the future performance of these properties and your ability to drive rents higher?
Edward Sonshine: Well there’s no question we’re more confident. It’s very simple, traffic, I mean there’s some retailers, and I’ll pick an example, COSCO, where consumers tend to go to the COSCO and then it’s attributed to COSCO, they buy so much that they tend not to go to the other stores. That’s not the case with Target. Target so far is living up to, everything we’ve heard about them in the United States, and then they are considered to be the best anchor or shadow anchor in the United States in our sector. And besides attracting a better demographic than their direct competitor Wal-Mart, the consumers tend to go and get accustomed to the other stores and the shopping centers as well. So, so far, it’s all good.
Pammi Bir – Scotia Capital: Okay. And then just one more. Looking at the compression in cap rates between primary and secondary markets in your disclosure, in your view, on some of the trades that you’re seeing out there in the market, are risks being appropriately priced between primary and secondary markets?
Edward Sonshine: I think to a certain extent they are. I think the secondary markets have maybe gotten a little ahead of themselves. It really depends what a buyer is looking for. You can buy great properties in the secondary markets where the risk of losing tenants is not that great, but on the other hand, you’re not going to get much growth over the next five years or longer. And as you go further out, you’re going to get some possibilities of diminution of income because there’s no population growth and in some cases as we know in certain parts of Canada, in particular, you’re actually getting population loss. So I personally think that in some cases, the major markets are starting to get overpriced. We have heard people talk about sub-5 cap rates. So it’s not surprising that’s spilling over a little bit into the secondary markets.
Pammi Bir – Scotia Capital: Great. Thanks.
Operator: Thank you. The next question is from Heather Kirk of BMO Nesbitt Burns. Please go ahead.
Heather Kirk – BMO Nesbitt Burns: In terms of just talking about the sort of growth profile on some of the secondary markets, I’m just curious to get your thoughts on your disposition program. I mean you sold assets in Quebec City which I guess are non-core, but I’m just wondering what your thoughts on some of the more peripheral market that you might be in, of things like [inaudible] of stuff like that and whether it might be opportune now to be looking at those as well?
Edward Sonshine: We have to walk a fine line and we have a major offsite every February where we go through the entirety of our portfolio both in Canada and the United States as you can appreciate, it’ now stretched out to several days. And we have developed a list of properties that we think aren’t going to have a reasonable growth in accordance with our metrics over the next five to 10 years. It doesn’t mean they’re bad properties, they perform quite well on a current basis. And each year, we will be identifying the ones that we wish to dispose of. The disposition program that you’re seeing us going through right now which is mostly completed as far as 2013. Expect to see it again in 2014 but we don’t see any need to do a significant disposition program. That goes beyond that. I will be paced out with a certain amount being done every year, but it will continue.
Heather Kirk – BMO Nesbitt Burns: Okay. And just a second question. With respect to the internal growth, you’ve obviously had a little bit of sort of I guess fortune you call it, last year and the beginning of this year. What does it trend up to? You said it’s going to get better in terms of the second half, and you’re starting to see some progress with respect to the Target location. Can we get back to a 2% plus level at some point? Or where do we sort of stabilize that.
Edward Sonshine: I’ll let Rags, after this, but I certainly think we will. I mean one of the advantage that we have, I’m not going to be calling in and tell you that all the speed bumps are gone, all the problems are going to go because there will be issues that come up the same way as they did last year, this year, from areas that we don’t even contemplate today. We know that. But I think what you can take from some of the numbers that Freddie was focusing on is that as we grow in size, these speed bumps, even though they might be significant for others, become quite small for us. So as we get more properties concentrated in the urban markets, and as we quite frankly get even bigger, I think it’s quite reasonable to think we’re going to get back to that. Rags, do you want to...
Rags Davloor: Yes. I think for the second half of this year, we do believe we’ll push through 2% to get to the one and a quarter for the year. And whether Q3 will cross 2%, we believe we will and then Q4, we think there is a chance that we could end up in the low 3s, but that’s sort of where we’re looking at the Math right now because we did take back some significant space, and we are going through a repositioning and redevelopment, that will come back on stream, we think it will start to move the dial. And as we get lesson on the fallout of situations, so to stabilize this, then as we push the rent, and we will start to see, we think a pickup in same-store growth.
Edward Sonshine: Yes. Our target by 2014 Heather, will be 2% to 3% and we’re quite optimistic that we can get there for next year.
Heather Kirk – BMO Nesbitt Burns: Okay, great. Thanks.
Edward Sonshine: Thank you.
Operator: Thank you. The next question is from Michael Smith of Macquarie. Please go ahead.
Michael Smith – Macquarie: Thank you and good morning.
Edward Sonshine: Good morning, Michael.
Michael Smith – Macquarie: I think at your investor day, you suggested a target of 75% urban properties over the next few years and you’re I guess, pretty much at 70% now after your dispositions.
Edward Sonshine: Yes.
Michael Smith – Macquarie: Would that growth come from just basically new developments, or given, I think you just said that your acquisition program or disposition program this year is pretty much done. You have a little bit more next year, but the big change is just going to be coming for more investments in urban markets?
Edward Sonshine: Yes. There will be an ongoing disposition program as I mentioned that for this year we’re pretty well done, but you can assume there’ll be another one next year. But if you look at our development program, they’re virtually all in the major markets. Primarily in Ottawa, primarily, they’re obviously mostly in the greater Toronto area, but also in Calgary, very much. And one of the sort of little advantages that we have is that we have so many situations where we’re involved with current partners whether that opportunities come up to acquire in the major markets. For example, we just acquired Trinity’s interest in the March Road property which is in Ottawa. They are 50%. That kind of thing seems to pop up unexpectedly for some reason that that is unique to our partner and we expect those to continue. So I think it would be primarily through development but there will be some acquisitions along the way.
Michael Smith – Macquarie: Just switching gears for rental residential.
Edward Sonshine: Yes.
Michael Smith – Macquarie: How big do you think that could be?
Edward Sonshine: Well, obviously, it’s zero right now. So growth to become a significant percentage will take a long time and I haven’t done any numbers, but when you look at some of our properties, just for all of you around, like Bayview on Edmonton, the Sunibert [ph] Plaza like quite frankly the Gold and Mail Lands, even believe it or not, as we started exploring this area, one of the things we learned for example, is there’s virtually no rental residential in the City of Vaughan because there hasn’t been much built in the last 40 years and 40 year ago, the City of Vaughan barely existed. So there’s a lot of demand out there where we think we can get the right numbers that will make it work. And rental residential five years from now form 5% of our income, possibly, but it’s a tough guess, but we’re looking very seriously at this stuff.
Michael Smith – Macquarie: Okay. And just last question. Ballpark, what are the right numbers on a development cap rate?
Edward Sonshine: For us, they’re really between, as I mentioned, the aggregate 8% in the right market where we do want as low 7, probably if it’s the exact right spot. But typically, we think we can average 8% on our development program.
Michael Smith – Macquarie: Thank you.
Edward Sonshine: Thanks. Unlevered, of course.
Michael Smith – Macquarie: Yes.
Operator: Thank you. Once again, do not hesitate to press star one at this time if you have a question. The next question is from Jason White of Green Street Advisors. Please go ahead.
Jason White – Green Street Advisors: Good morning, guys.
Edward Sonshine: Good morning.
Jason White – Green Street Advisors: I just had a quick questions, follow up on the same-store discussion. If you can give a little more color, if maybe you can bucket some of your I guess lower tier, or tertiary market properties versus some of your core market properties? I’m just trying to get a sense of the dispersion between the growth in the various markets. And then if you could also address growth in the U.S., and what you think your prospects are there over the next couple of years?
Edward Sonshine: Okay that’s a very tough question to give you an exact answer to because I looked at Rags and he sort of looked at me with a panic-stricken look in his eye. Down at the convention a couple of weeks, we’ll try to have a better answer for you, but for example, a lot of the slowdown in growth was in this other stores. While there’s other stores that didn’t get taken if you look at them, they’re actually all in secondary markets, so virtually without exception. If you look at all our Zeller stores in the major markets, they were all taken by Target maybe, or somebody else, I think Wal-Mart took one up in new market which is in the GTA. So it’s a very actually insightful question, Jason, but I would tell you that in the secondary markets which as of next week, we’ll form about 30% of our overall NOI, the growth will probably be less than 1%. Whereas in the major markets, it’s going to be better than 3%. And I’m talking this year. In the United States from our 16% to 17% of our NOI that’s coming from down there, I think the growth rates are going to be better. In fact, next year as we move forward there, we’re expecting to see some significant grow that will outstrip our percentage basis, but NOI, the Canadian growth. And Rags has had time to get the panic look out of his eyes. So I’ll let him talk.
Rags Davloor: Yes, I mean when you look at what we’re doing and Fred, you can obviously delve into this, but when you look at our rental rates uplifts, we’re getting north of 20% in the major markets where they’re none [inaudible]. So that’s where we’re seeing the big push on rental rates and I think that’s where we will see the growth in same-store growth coming from. It’s primarily the major markets.
Fred Waks: Just to look at the retail in the last quarter, the renewals, and put into dollars, our average retail renewal rate was up $5.02 as compared to $2.48, so almost exactly to what we’re talking to.
Edward Sonshine: Yes. There’s a clear pattern there, of course, Jason.
Jason White – Green Street Advisors: Okay. Thank you.
Edward Sonshine: Thank you.
Operator: Thank you. The next question is from Alex Avery of CIBC. Please go ahead.
Alex Avery – CIBC World Markets: Thanks. Clearly the urban focus is I guess continuing and even perhaps accelerating at RioCan. Retailers are also very focused on it, it seems like everyone’s in agreement about retail, or urban retail being the future. Could you give us some insights as to what your experience has been in terms of retailers successfully executing on their urban strategies? You guys have done Queen and Portland, and Avenue Road and a bunch of other developments. And I guess from your perspective, getting tenants in there initially is sort of the key, but what have you seen from your retailers in terms of their ability to actually execute in those locations and I guess by extension of that are they willing to sign every lease that they can in those types of locations with you?
Edward Sonshine: Okay, let me just sort of first say that we’re talking urban, but when you look at the suburban of the big cities, whether it’s Calgary, Toronto, Ottawa, those markets are still extremely viable. And they’re still seeing some growth. So I want to distinguish those suburban markets from some of the secondary and tertiary markets that we talked about before. Secondly, I’ll just give you my view and then I’ll turn it over to Fred. I think what’s happening is that certainly the super markets have really figured out their urban strategies. And that this will include the big guys, the Loblaws and Sobey’s and Metro. But also some of the regional players like Mongoose who is just doing a great job on some of their new urban stores in the city. Some of the, I’ll call it the smaller boxes like Winners, they have a long experience in urban, I mean the opened up, I’m sorry, what I call the old center, up around college and bay street, they opened up there, probably 10 years ago.
Fred Waks: That was the number one store.
Edward Sonshine: And that’s always been their number one store. So they probably got an early look and one of first four was down at nine [ph] front if I’m not mistaken. So second store, well, that’s one of their first. So these guys got an early start. My sense of it is, is that some of what I’ll call the bigger boxes, and that will include Wal-Mart, the Canadian Tire, and soon to be Target, they’re just figuring it out and they’re sort of learning on the fly. Freddie, you want to add some color to that?
Fred Waks: Well even in the states, these boxes, you know, Target only really gotten into the urban locations in the last three years. And also Wal-Mart has not been able to really to get into the urban markets, but they are seriously looking at several locations in the urban centers, but for example, Lawrence Square, we have paper approved by a TJX for Marshalls in the HomeSense, in Lavelle, we have a new deal that is for Marshalls. RioCan where we have a Plus, is now a Marshalls and where we had a second club, is now the Linen Shots. So people are going where, as retailers want to be with the people are, and of course we see that first hand being at Edmonton the type of output the rents we’re seeing and the productivity that the food store, liquor store, the drug store and the fashion retailers are doing here right under where we’re sitting today.
Edward Sonshine: And of course that productivity and that’s what’s driving everything, that productivity translates directly into the tenant’s ability to pay rent. We’re not going to start throwing around individual rents on the conference call, but I can tell you that some of deals that the guys are doing in the urban locations particularly whether it’s this one or it’s going to be our next big redevelopment at Shepherd Center, are really quite eye popping.
Alex Avery – CIBC World Markets: Okay. And then I guess in terms of your development expertise in that area, where would you say that you are along the learning curve of I guess urban high density format development and is that something you still have ways to go in, or...
Edward Sonshine: Well, I got to tell you, yes, Alex, that’s a good question. And I got to tell you, I think we’re as good as anybody in Canada. We learn an awful of lessons. We’re fairly pioneering developments like Queen and Portland. And even at Avenue Road, north of Lawrence, the inter relationship between the various components are critical. Peope often forget that retailers need to get a lot of goods into their stores if we’re going to be doing $1,200, $1,300, $1,400 a foot in sales, that’s a lot of product. And we learn that also firsthand being sitting right on top of it, as Fred says here, Yonge and Eglinton where you’ve got a super market that aren’t per square foot basis maybe the best in Canada. I’m not sure, certainly the best in Toronto that we know about. And so there’s a lot of intricacies to it. I think we’re going to take that learning curve to get a new level, as we start putting together the plans for the Gold and Mail Lands. But I don’t think there’s anybody that knows it any better than we do, quite frankly.
Alex Avery – CIBC World Markets: Okay, that’s great. Thank you.
Edward Sonshine: Thank you.
Operator: Thank you. There are no further questions registered at this time. I would like to return the meeting over to Mr. Sonshine.
Edward Sonshine: Well, thank you very much. I take the relative questions as a complement to Rags and his team and the quality of their disclosure, rather than hopefully a lack of interest. So I thank you for the questions that were asked, I thank you for your attention. And we’ll talk to you soon. Bye-bye.
Operator: Thank you, Mr. Sonshine. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.